Operator: Good day, and thank you for standing by. Welcome to the Q3 2021 Spectrum Brands Holdings, Inc. Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Kevin Kim. Please go ahead.
Kevin Kim: Great. Thank you so much, Dawn. Welcome to Spectrum Brands Holdings Q3 2021 earnings conference call and webcast. To help you follow our comments, we've placed a slide presentation on the Events Calendar page in the Investor Relations section of our website at www.spectrumbrands.com. This document will remain there following our call.  Starting with Slide 2 of the presentation. Our call will be led by David Maura, Chairman and Chief Executive Officer; Jeremy Smeltser, Chief Financial Officer; and Randy Lewis, Chief Operating Officer. After their opening remarks, we will conduct the Q&A.  Turning to Slides 3 and 4. Our comments today include forward-looking statements which are based upon management's current expectations, projections and assumptions and are, by nature, uncertain. Actual results may differ materially. Due to that risk, Spectrum Brands encourages you to review the risk factors and cautionary statements outlined in our press release dated August 6, 2021, and our most recent SEC filings and the Spectrum Brands Holdings' most recent annual report on Form 10-K and quarterly reports on Form 10-Q. We assume no obligation to update any forward-looking statement.  Also, please note we will discuss certain non-GAAP financial measures in this call. Reconciliations on a GAAP basis for these measures are included in today's press release and 8-K filing, which are both available on our website in the Investor Relations section.  Now I will turn the call over to David Maura.
David Maura: Thank you, Kevin, and good morning, everyone, and thanks, everyone, for joining us on today's call. As this has become custom on these calls, I'd like to start by thanking our 12,000-plus employee partners around the globe. You have all overcome a lot over these past 18 months, and I'm very proud of you. The management team and I appreciate each and every one of you.  We should all be proud of our progress, which is further confirmation of the durability of our business and our winning playbook. Our teams have embraced both our global operating model and the spirit of our servant leadership culture. We've persevered through a global pandemic to deliver excellent and consistent financial performance for our stakeholders. And our fourth quarter financial results reflect another quarter of top and bottom line growth, and it reinforces that we are truly structured for growth and efficiency to serve our consumers, customers and our stakeholders.  On a year-to-date basis, our businesses have delivered 19% organic net sales growth and 36% EBITDA growth. The new Spectrum Brands is, in fact, a more efficient, focused, productive and consistent operating company, and we are confident in our ability to manage through the near-term volatility, including the current inflationary headwinds and supply chain disruptions.  We have and will manage through these challenges with the same discipline and collaboration that allowed Spectrum Brands to navigate the tariff headwinds in 2019 and the pandemic restrictions of 2020.  We will emerge a more durable company with a more resilient supply chain, and we will continue to be driven by our values of trust, accountability, and collaboration to serve our mission, which is, we make living better at home. Again, I want to thank you.  Now if I could have everyone turn to Slide 6. We again delivered top and bottom line growth in the quarter, and we continued to plant seeds for future growth with our investments in innovation, marketing and advertising across each of our businesses.  Our third quarter net sales grew 18.1%, driven by growth across all business units, with standout performance from HHI. This double-digit top line performance also reflects 14% total company growth against our 2019 levels and reflects our actions over the last few years to reignite the flywheel growth for our trusted brands.  Now turning to the bottom line. Third quarter net income from continuing operations was $34.9 million, and adjusted EBITDA was $167.4 million, mainly driven by HHI's organic growth. What I'm actually most proud of this quarter is the discipline exhibited by all four business units, as our EBITDA this quarter included an additional $19 million in innovation, marketing and advertising spend versus the period a year ago. The fact that our operators of our businesses continue to lean in and invest for long-term future growth despite the current macro challenges is evidence to me that our culture -- the culture of this company has changed and we are truly focused on sustainable growth. I want to congratulate the team and thank them for continuing to invest in our businesses.  Adjusted EPS grew 15.4% despite headwinds from inflation and incremental investments in marketing and advertising, as our teams continue to focus on driving efficiencies from our Global Productivity Improvement Program and implementing pricing actions.  We were also opportunistic this quarter with a share repurchase program, buying back over $10 million worth of Spectrum Brands shares.  Turning to Slide 7. Headwinds from inflationary pressures stepped up in the quarter, as expected, driven by transportation and commodity costs. Both Jeremy and Randy will provide additional details during their prepared remarks. But despite these continued headwinds, we remain committed to delivering on our earnings framework with mid-teens net sales and adjusted EBITDA growth and adjusted free cash flow of $260 million to $280 million.  We will continue to focus on the disciplined execution of our winning playbook by investing in our people, continuing to drive a culture of servant leadership, empowering and resourcing our teams to win in the marketplace with news and excitement from new product introductions.  If I could ask you to please turn to Slide 8. Our balance sheet this quarter remained strong with net leverage of 3.6x, and we have over $600 million in total liquidity. We also successfully closed on the Rejuvenate acquisition during the quarter for approximately $300 million, adding a fourth category to our ever-expanding Home & Garden business.  Turning to Slide 9. Going forward, our capital allocation priorities will continue to focus on: one, allocating capital internally to our highest return opportunities, and this includes strengthening our brands through consumer insights, innovation and advertising and promotion and marketing to drive the vitality of our business and drive profitable organic growth; two, we plan to return cash to shareholders via dividends and opportunistic share repurchases; and third, we will continue with disciplined M&A, with tuck-in strategic acquisitions that are synergistic and help drive value creation.  I'm very pleased to report to all of our stakeholders that all of our recent acquisitions, including Omega Sea, Armitage and Rejuvenate are performing at or above our original deal expectations. We continue to target net leverage in the 3x to 4x range.  Now you'll hear more from Jeremy on the financials, and Randy will update you with additional business unit insights.  I'll turn the call now over to you, Jeremy.
Jeremy Smeltser: Thanks, David. Good morning, everyone. Turning to Slide 11, and review of Q3 results from continuing operations, beginning with net sales. Net sales increased 18.1%. Excluding the impact of $25.9 million of favorable foreign exchange and acquisition sales of $34.3 million, organic net sales increased 12%. Net sales grew across all four business units.  Gross profit increased $58.5 million and gross margins of 35% declined just 40 basis points from a year ago due to higher freight and input costs, partially offset by higher volumes, improved efficiencies from our GPIP initiative and favorable mix.  SG&A expense of $275.4 million increased 22.5% at 23.7% of net sales, with the dollar increase driven by higher volumes, higher advertising and marketing investments, higher distribution and incentive costs, higher transaction-related costs and SG&A from our recent acquisitions.  Operating income of $98 million was driven by higher volumes, improved productivity and lower restructuring costs, partially offset by higher freight and input costs and marketing and advertising investments. Declines in GAAP net income and diluted earnings per share were primarily driven by prior year gains from the company's prior Energizer common stock investments and gains from the extinguishment of Salus CLO debt.  Adjusted diluted EPS improved to $1.57, driven by favorable volumes and improved productivity. Adjusted EBITDA increased 1.8% from the prior year, primarily driven by HHI.  Turning to Slide 12. Q3 interest expense from continuing operations of $31.4 million decreased $4.7 million due to our lower cost of debt. Cash taxes during the quarter of $8.6 million were $4.8 million higher than last year. Depreciation and amortization from continuing operations of $38.6 million was $3.6 million higher than the prior year.  Separately, share and incentive-based compensation decreased from $14.2 million last year to $7.5 million this year, driven by the change to incentive compensation payout methodology. Cash payments for transactions were $16 million, up from $7.2 million last year. And restructuring and related payments were $5.1 million versus $25.2 million last year.  Moving to the balance sheet. The company had a quarter-end cash balance of $130 million and $478 million available on its $600 million Cash Flow Revolver. Total debt outstanding was approximately $2.7 billion, consisting of $2.1 billion of senior unsecured notes, $497 million of term loans and revolver draws and $156 million of finance leases and other obligations. Additionally, net leverage is 3.6x.  And during the quarter, the company repurchased 115,000 shares for $10.2 million. CapEx was $15.2 million in Q3 versus $12.9 million last year. Turning to Slide 13 and our earnings framework for 2021. We are reiterating our earnings framework for the year as we continue to expect mid-teens reported net sales growth in 2021, with foreign exchange expected to have a positive impact based on current rates. Adjusted EBITDA is also expected to grow mid-teens. This includes benefits from higher volumes, our GPIP efficiencies, approximately 11 months of results from the recent Armitage transaction in Global Pet Care and now includes approximately 4 months of Rejuvenate for Home & Garden, offset by net tariff headwinds of about $30 million to $35 million driven by the expiration of previously disclosed retrospective tariff exclusions in 2020.  In addition, as David mentioned, we have factored in $120 million to $130 million of input cost inflation compared to a year ago primarily in the second half of the fiscal year. Fiscal 2021 adjusted free cash flow from continuing operations is expected to be between $260 million and $280 million. This includes plans for incremental investments in inventory levels as well as the expected input cost inflation.  Depreciation and amortization is expected to be between $180 million and $190 million including stock-based compensation of approximately $30 million to $35 million. Full year interest expense is expected to be between $130 million and $135 million.  Both restructuring- and transaction-related cash spending as well as capital expenditures are expected to be between $70 million and $80 million. Cash taxes are expected to be between $35 million and $40 million, and we do not anticipate being a significant U.S. federal cash taxpayer during fiscal 2021 as we continue to use net operating loss carryforwards.  We ended the prior year with approximately $800 million of usable federal NOLs. For adjusted EPS, we use a tax rate of 25%, which includes state taxes. Regarding our capital allocation strategy, we continue to target a net leverage range of 3x to 4x adjusted EBITDA. Now as it relates to the 2021 earnings framework, please keep in mind a few factors.  First, we continue to plan for incremental brand support investments of approximately $45 million for the year as we continue to raise awareness, consideration and purchase intent. Second, recall the Q4 results this fiscal year will have 60 reselling days compared to the prior year. It's an important to recognize this modeling new odds. Third, we continue to manage through inflationary pressures which are still expected to be $120 million to $130 million higher than last year. Fourth, Q4 results this fiscal year will include the change to our Incentive Change Compensation Program that was enacted in Q4 last year, positively impacting comparability by about $12.7 million compared to the prior year in Q4.  And lastly, adjusted EBITDA is also expected to be negatively impacted by the absence of Energizer dividend income.  Now over to Randy for a more detailed look at our operations.
Randal Lewis: Thanks, Jeremy, and thank you all for joining us this morning. My comments today will focus on with in each business unit to provide detail on the underlying performance drivers of our operating results. I will also update you on the current overall cost environment and our global productivity improvement program.  Overall, we continue to see significant benefits from our operating model transformation. As David outlined earlier, our business is demonstrating its durability and our operating strategy is proving effective in helping us actively manage through today's headwinds. While the impacts of COVID-19 over the past year are creating extreme volatility in the year-over-year and quarter-to-quarter comparisons of our businesses, overall, we continue to believe that consumer demand remains positive in our categories and the strong performance of our brands continues to drive long-term growth.  Q3 reflected another quarter of organic sales growth for the total company. And despite industry supply chain challenges, we continue to work to improve our delivery performance and provide more consistent service levels to our customers, which is earning us positive feedback from those partners. These efforts, in addition to our continued commitment to long-term commercial strategies, operational investments helped drive another quarter of top and bottom line growth.  Now let's dive into the specifics for each business. Starting with Hardware & Home Improvement on Slide 15. Third quarter reported net sales increased 48.8% and organic net sales increased 46.7%. Top line performance was primarily driven by security sales growth over the prior year. Last year, you will recall, we experienced COVID-19-related disruptions at our Hardware & Home Improvement manufacturing locations in Mexico and the Philippines due to temporary, government-ordered shutdowns. It's important to highlight that we had double-digit growth across all HHI categories, even in comparison to strong results from the prior year in plumbing and builders hardware.  EBITDA increased 56%, primarily driven by volume growth and productivity improvements and partially offset by higher freight and input costs and higher advertising investments. This represents our fourth consecutive quarter of strong double-digit sales growth for HHI, as well as 18% growth compared to 2019 levels. We continue to expect demand to be driven by our new product introductions and increased advertising investments.  Additionally, fundamentals across both the repair and remodel and the new build channels continue to be strong. As we turn to expectations for the next two quarters, we should look at last year's history. If you recall, Q4 of last year started the strong rebound in sales as production of our security products recovered dramatically from the COVID-19 government shutdowns.  Our HHI teams across security, plumbing and builder's hardware continue to be focused on driving growth and taking share. We will continue to invest in innovation, marketing and advertising and are seeing positive results in retail POS and benefits from recent commercial wins with Clayton Homes, Shea Homes and another -- and a number of other top 100 U.S. builders. Additionally, our Baldwin brand, the leader in luxury security products, recently launched its Quick Ship Program with a wide array of customized SKUs, shipping within five business days, to dramatically improve the customer experience in that category.  In Kwikset, we remain focused on driving demand with our exciting Halo and Halo Touch Smart Lock product lines, which includes biometric and WiFi-enabled technology, along with voice control capability through Alexa and Google Assistant. Also contains SmartKey technology which allows users to rekey their own locks to any Kwikset key in about 15 seconds. And Microban, which incorporates antimicrobial technology on the surfaces of our hardware.  Now to Home & Personal Care, which is Slide 16. Reported inorganic net sales increased 9.5% and 4.2%, respectively. Adjusted EBITDA decreased 11 -- decreased to $11.8 million. Net sales were driven by continued strength in small kitchen appliances and personal care categories with notable growth from haircare and garment care segments. The U.S. continued to grow along with strong growth in Latin America as retail channels began reopening after shutdowns from COVID-19. Lower EBITDA was driven by increased freight expense, substantial investments in marketing and advertising and input cost inflation. This was partially offset by pricing actions, higher volumes and productivity improvements.  Q3 represented the eighth consecutive quarter of year-over-year top line growth for our appliance business. Performance was driven by double-digit growth in haircare and garment care products as well as moderate continued growth in small kitchen appliances compared to the outstanding sales from last year. Our consistent commercial wins over the last two years and continued investments give us confidence in our plans to continue growing share and taking shelf space with our key retailers.  As we outlined on our last call, inflationary headwinds as well as continued marketing investments in HPC in Q3 and Q4 only be partially offset by our pricing and supplier partnership initiatives. This will put pressure on margins. However, we continue to work to mitigate the inflation impact as we enter fiscal 2022. Our focus in 2021 and beyond will remain in consumer-led, insights-driven new products with incremental sales opportunities as retailers continue to reopen. And there is excitement for back-to-school, which was limited last year, as well as for the upcoming holiday season.  Moving to Global Pet Care, which is Slide 17. Q3 represented another quarter of top line growth. Reported net sales grew 6.5%, while organic sales declined 7.2%. Adjusted EBITDA declined 2.8%. Higher net sales was attributable to acquisition sales, which drove companion animal category growth. Top line results this quarter were impacted by lower-than-desired fulfillment levels during a June transition of 3PL providers at one of our major U.S. distribution centers. The fulfillment challenge was a transitional issue and customer shipment volume returned to pre-transition levels by the end of the quarter.  Lower EBITDA was driven by the distribution center transition, resulting in lower customer shipment volumes and increased operating costs. Profits were also pressured by higher freight and input cost inflation and advertising investments, partially offset by productivity improvements and pricing actions. The transition of service providers at the distribution center in the U.S. was a planned strategic move. Our Global Pet Care business has been a very strong performer for several years, with 11 consecutive quarters of sales growth.  We are very excited about the continued momentum of the business given the positive macro trends of the category and the strong performance of our brands. Thus, to better serve our customers currently and to support our strategic growth plan, we partnered with a new 3PL provider and committed to significant increases in space and automation. Our new partner is a Fortune 500 world-class service provider with extensive experience working with some of the largest companies in the consumer product space. They have the experience, scale, systems and automation processes to take our Global Pet Care business to the next level of customer order fulfillment and supply chain efficiency. The facility transition is now stable, and we expect the benefits of the new capabilities to start showing up this quarter.  As we said before, our Global Pet Care team remains confident that 2021 and beyond will benefit from the continued execution of our global strategies, coupled with the strong category growth fundamentals. In particular, we anticipate sustained demand for our consumable products, given all the new pet parents in companion animal and all the new hobbies who have entered the acquired [indiscernible] categories. These are long-term commitments and bode very well for the future demand of our products.  In addition to operating a very strong business, our Global Pet Care unit is leading in another equally important area, giving back to society. Through a long-standing relationship with our Glofish brand, we partner with an outstanding organization named Well Aware. Well Aware is a nonprofit organization headquartered in Austin, Texas that provides innovative and sustainable solutions to water scarcity in East Africa. While our partnership goes back almost 10 years, this quarter, we completed one of our most successful fundraising campaigns ever through Well Aware's Shower Strike Program. These fundraising actions, along with matching funds from Spectrum Brands, will directly contribute to providing a lifetime of clean, healthy water for thousands of people living in two communities in Southern Kenya. A huge thank you to all our Spectrum Brands participants and to the many people who donated for this very worthy cause.  I also want to thank Well Aware founder, Sarah Evans, and her incredible staff for allowing us to play a very small part in the tremendously important work that they do. And finally, Home & Garden, which is Slide 18. Third quarter reported net sales increased just less than 1%. Organic sales declined 3% and adjusted EBITDA decreased 3.8%. The net sales increase was driven by repellent category growth from distribution gains as well as contributions from the recently acquired Rejuvenate cleaning business.  Sales of herbicides and insecticides were negatively impacted by unfavorable weather through much of the first two months of the quarter. The EBITDA decrease was driven by lower volumes and increased marketing investments and partially offset by pricing actions and productivity improvements. Despite the challenging weather in Q3, our business continues to outperform the category, and POS performance thus far in Q4 has been positive, with more favorable weather patterns and continued strong retailer support despite ongoing challenges from raw materials and freight markets. Given these ongoing challenges, the Home & Garden team has announced another round of planned price increases at the end of last month.  With the successful close of the Rejuvenate acquisition, our teams are also focused on capturing operational and revenue synergies with a business that has strong EBITDA margins and good customer alignment with our existing channels. Recall that net sales for the business last year were over $60 million. And just recently, Rejuvenate was named HGTV's best multipurpose hardwood floor cleaner. We look forward to applying our strengths in supplier partnerships, manufacturing and marketing to further strengthen the Rejuvenate brand, particularly within underpenetrated channels and retailers.  Our continued A&P investments in Home & Garden this quarter are consistent with our strategy to invest more resources to tell our story around the brand, such as Spectracide, Cutter, Hot Shock, EcoLogic and now Rejuvenate. We believe these actions will further enhance our mission to be the recognized market leader in providing consumers the best solutions to counter nature's challenges and enjoy life.  Now let's turn to our internal growth and efficiency efforts for Global Productivity Improvement Program on Slide 19. As David mentioned, we've remained laser-focused on execution of these key initiatives. As Q3 delivered productivity improvements across all business units. We remain resolute on using these savings to invest back into the business to drive long-term, sustainable, organic growth especially during these challenging times. This program continues to be our most important strategic initiative as we transform our global operating model, and we remain on track to deliver our total gross savings target of at least $200 million by the end of fiscal 2022.  Widespread inflationary headwinds stepped up this quarter and more meaningfully impacted our Q3 results. As we said during our last quarter, we continue to expect these gross headwinds to be approximately $120 million to $130 million higher than fiscal 2020 levels. While many of these headwinds are industry-wide and often outside of our control, our results this quarter reflect our actions to address these impacts. We are expecting -- we are executing and coordinating a consistent strategy across the enterprise using the tools developed through our GPIP program and leveraging our operating model. We are partnering with suppliers to offset inflation, implementing mitigation actions and driving productivity improvements throughout all businesses, regions and functions.  As Jeremy alluded to earlier, these headwinds are currently included in our earnings framework for this year. We implemented price increases with many of our retail partners in Q3, and we are taking additional pricing in Q4. And if the current cost environment holds, we expect to be taking further pricing actions in fiscal 2022.  While we believe that some of these inflationary pressures are temporary in nature and may begin to moderate in fiscal 2022, we are preparing for higher levels of gross headwinds next year. As a reminder, the inflation we are experiencing in fiscal 2021 is hitting us almost entirely in the second half of the year. As we look forward to fiscal 2022, these inflationary headwinds are expected to be first half-weighted.  In my section, I want to acknowledge another sensational quarter of progress on our operating model, our cultural advancements and our strategic initiatives and to thank our 12,000-plus employees for all they are doing to truly make us a better, faster and stronger Spectrum Brands.  Now back to David.
David Maura: Thank you, Randy and Jeremy. Thanks, everyone, for joining us today. Look, at this point, we've covered quite a bit on the call. I want to conclude now with the key takeaways here on Slide 21. First, our third quarter financial results reflect another excellent quarter of top line growth driven by growth across every one of our business units. This top line performance, however you analyze it, reflects our actions over the last few years to reignite the flywheel of growth for our trusted brands.  Second, our third quarter financial results reflect adjusted EBITDA growth despite, inflationary headwinds which stepped up in the quarter and continued challenges with our supply chain, but most importantly, it covered an incremental $19 million investment in innovation, marketing and advertising. Third, our teams remain focused on managing with discipline and collaboration. Our winning playbook gives us confidence in reiterating our 2021 earnings framework, and our GPIP program and efficiency targets are helping us finish the year strong.  As I stated, we expect a strong finish to fiscal 2021, and we have great momentum heading into fiscal 2022. We remain encouraged by consumers' demands for our products and our retail partners' enthusiasm for our categories, brands and our new product launches. As I sit here today, I'm excited and optimistic about the future of our businesses and our company as a whole. As I mentioned earlier, the company's culture has shifted. We are no longer focused on running our business for short-term results. We are a more efficient company today and we are reinvesting much of the savings from our global productivity improvement program back into driving the growth of our four business units.  Additionally, the backdrop of low interest rates, the U.S. consumer with approximately $2.5 trillion in liquid assets, combined with a strong housing market and a permanent demand shift higher for our Pet and Home & Garden product offerings paints the picture of a very strong macro demand environment for our company. As we mentioned on this call, we also continue to see strong demand for our home cooking appliances, grooming, shave and beauty care product lines which should be further aided by an expected strong back-to-school selling season.  In summary, all of this adds up to a very favorable view of our prospects as we enter our fiscal 2022 on October 1. The new energy of our teams and the investments we've made in innovation, marketing and advertising leaves me enthusiastic about our new product development pipeline and our expected new product launches in fiscal 2022 and 2023. I expect our current challenges on the supply chain to be mostly transitory, and I expect that we can overcome a lot of the headwinds that we're currently seeing on the inflation side. The future of Spectrum Brands is genuinely bright.  I want to again thank all of our employees from our frontline workers in the factories and the distribution centers, to the many other teams around the world that have been working from home. I also want to give a special thanks to our supply chain team, you all have done an amazing job securing containers and allowing us to continue to bring our products to market as we continue to win new business across our platform. I am extremely grateful for all the sacrifices of our Spectrum Brands employee partners that you've made to navigate our company successfully through these challenging times.  I thank you for your time and your continuing support. I'll turn the call now back over to Kevin for any questions.
Kevin Kim: Great. Dawn, let's just dive right into Q&A. Go ahead.
Operator: [Operator Instructions]. And you first question comes from the line of Nik Modi with RBC Capital Markets.
Sunil Modi: So two questions for me. On the Global Pet, is there any way you can help quantify the DC issue and the impact it had on the quarter? And then what gives you the confidence -- and should we expect some of the sales loss in 3Q to kind of come back in 4Q? So any context on that would be super helpful.  And then the second question is really around the HPC business. Given Prime Day moved, you obviously had very good growth, but it did fall short of expectations. So I just wanted to get some understanding on what happened there.
David Maura: So Nik, I'll take a shot at it, and then I'll let Jeremy and Randy fill in. But what gives us a lot of confidence is that the DC move was just the fact we outgrew the old one, we are really planning for significant growth in our Pet business, both organically and inorganically going forward and we needed a much bigger facility.  What gives us confidence to talk to you today about that being a temporary headwind in the current quarter with the move is we just finished the biggest July out of that new DC in Pet's history in the month of July. So we think that's very much behind us, and we're looking forward to very nice growth out of our Pet unit in the current quarter.  In regards to appliances, I'm sorry that it missed expectations, but it didn't miss mine. We continue to see very nice demand for our home appliances, which I think most people thought was just a COVID pull forward. But in fact, we see continued growth there. And we're having a lot of success with our groom and our beauty products as people gear up to go back to school.  The main thing for us is continuing. It's why I thanked our supply chain group. It's just -- it's just every day is a battle to make sure we get this -- the supply on the water and then to the DCs into the stores. And so that remains our top focus at the moment.  I'll let Randy and Jeremy chime in for additional color.
Jeremy Smeltser: Yes. So back to Pet, Nik, I mean I'm not going to quantify specifically what our shipping expectations were that were light due to the transition. What I will say is that we didn't experience any change in POS sequentially.  So POS has remained strong. I will say that we would have seen nice organic growth on Pet sales in the quarter had we not experienced that slowdown. But as David said, July was a record for us, up over last year. Up, I think, over 20% compared to 2019.  So we're really pleased with where that's at. Randy, anything to add?
Randal Lewis: Yes. Just reiterating the fact this is an investment in the future. And the demand on that business has been so strong for the last 4 to 8 quarters. There was just never a great time for us to be able to take any downtime and move that over.  So we had to do it on the fly. And we're up where we need to be, and we're going to have a lot more capability and headroom to handle the growth going forward. That facility saw a 34% increase in output since 2018 and just needed some extra capabilities.
Operator: Your next question comes from the line of Peter Grom with UBS.
Peter Grom: I hope you all are doing well. I wanted to ask a question, David. I'm not sure you can really provide much, but I would love your view on strategic M&A in the context of the recent headlines around HHI. And I know, David, you've kind of discussed publicly the disappointment in valuation. And I know M&A has long been part of the Spectrum strategy. So would kind of love to get your view on how you think about value creation in the context of M&A and whether kind of your frustration with how the market values the combined entity has kind of changed your view on how you think about this business structure longer term?
David Maura: Look, I think I'll start by saying we're really excited about the acquisitions of Armitage and Omega Sea and, quite frankly, Rejuvenate. It's been really great to get those, particularly Rejuvenate starting the integration process. That business continues to perform above our expectations, as do the other two..  I mean, look, I think at the end of the day, we're not going to comment on any strategic activity. It's just not the company's policy. And -- but no, I've definitely been vocal about the fact that, I mean, here we are today. I mean, to think that we've got a company, we're paying a 2% dividend, we're buying back stock.  And I think it's pretty amazing. Year-to-date, we've been able to grow the business 19% on the top line, 36% on the EBITDA line. We're generating a lot of cash. We're focused.  So look, we're going to continue to execute, but we definitely do not believe that marketing -- the market valuing us below 9x EBITDA is -- we have an issue with that.  So we will continue to execute. We're looking forward to a strong finish to the year here with our fourth quarter. And we think we're going to enter '22 with a lot of momentum.  But yes, I think my disappointment is more in the short-term nature of the market. And -- but we'll just continue to be consistent. And we'll continue to put up numbers. And I'm sure that one day we'll be appreciated.
Peter Grom: Got it. And then maybe just following up on that last piece, David. You sound pretty optimistic about fiscal '22 and the broader category of macro headwinds. And I'm not asking for fiscal '22 guidance, but you're clearly exiting this year with strong momentum and you've long discussed Street Estimates being too conservative for next year. So how should investors think about growth from a category perspective even as you kind of cycle these difficult comps?
David Maura: I tried to hit that in my prepared remarks. I mean we just have a very good macro backdrop that creates a lot of consumer demand for our finished goods. And I think that, ultimately, over the next couple of quarters, Wall Street, our retail investors, whoever it is, will figure out that Pet demand is a materially higher level of aggregate demand.And so is Home & Garden. So are a lot of things.  So I think, look, it's -- demand is there. And it's our job now to just manage through some negative externalities with inflation and supply chain. But yes, look, the other thing I would tell you is R&D and innovation, they aren't instant gratification payback methods. We've been building an R&D team, for example, in H&G -- in Home & Garden, and we put a lot of money in it. We've upgraded a lot of talent. But I wish you guys could see what we see in terms of our pipeline and our new products.  But the nature of being public, that's not a possibility. But those products take multiple years to create and then launch because of the EPA regulatory environment. But as Randy and Jeremy and the team sit here today, we're really thrilled with what we see in our new product development pipeline and what we expect to be the new product launch schedule. And so look, we think the macroeconomic backdrop is good, but we think we're developing capabilities with innovation which will enhance our margin and our mix and vitality, and we intend to take share and grow. And so again, we just -- we wish people would take more than a 24-hour view of the company as an investment.
Operator: Your next question comes from the line of Robert Labick with CJS Securities.
Robert Labick: You touched on this, obviously, in your prepared remarks, and you've talked about it for quite some time. I just want to dig back into the inflation that you're seeing a little bit. Obviously, as you said, it doesn't end at the end of your fiscal quarter.  So there should be some inflationary pressures in the first half of next year. Can you tell us kind of where you are in terms of pricing that you've realized or that is expected to be realized next year? How that's being received by your end customers and how you plan to continue to offset future inflation with pricing.
Randal Lewis: So Bob, this is Randy. I'll jump on and try and take that. Obviously, we don't comment about the specifics of pricing. And I can tell you that it varies significantly by business unit, region, channel, customer, et cetera. But what we're doing is we're utilizing a lot of the capabilities from our enhancements through global productivity where we've brought -- you've heard us talk in the past about our commercial operations functions.  And so we've got really top talent analysts that are helping us to understand the drivers, also helping us to go into our retail customer partners and show them the impacts of how we can work together to have the minimal impact on consumers but also drive the necessary margins for both of our businesses.  There's also a backdrop there that's really important, where the transformation that David talks about all the time, when we're going in with consumer insights, category insights, a record of investing behind the categories and the brands and share gains in most of our positions, that is a much stronger backdrop to have those discussions.  So overall, I'm pleased with the progress and very pleased with the approach. With regards to how we continue to offset, again, a very thorough approach from the start to finish, working with the partners on supply side, working with alternative options of design, product changes, sourcing, onshoring. And then ultimately, also, don't forget about innovation. As David mentioned, higher vitality. When you bring vitality out, it tends to price at the market at the appropriate margin at the time.  So we get benefits from that in that way also. So overall, I feel that we are better prepared to deal with these headwinds than we ever have been in the past.
Robert Labick: Okay. Great. Very helpful and insightful. And obviously, a lot of this, as you mentioned, is enabled by the Global Productivity Plan, which is you've executed on extremely well. One of the other things you're doing with those savings, you've mentioned, is increased advertising and promotion, innovation. And maybe just highlight a little bit more about the targeted spending of the savings from GPIP. And if you reach all your goals this year, does that -- do you get to increase that spending further next year? Have you reached your targeted new spending level? Or where does the A&P and innovation spending that you've increased from GPIP go in the future?
David Maura: Yes. Look, I want talk [indiscernible] because I think what I was trying to do with this morning's script in the earnings release was to let you know that I wasn't just complimenting the operating leaders to compliment them, they've done an amazing job of staying steadfast and investing for the long term. Hopefully, what The Street can figure out is even though we reported $167 million in EBITDA, which I think the consensus, that was burdened by $19 million of incremental spend in marketing and innovation. And I mean that's a real credit to the team for staying steadfast despite inflationary headwinds in supply chain.  And so, look, I think we have made a lot of progress in this area. But I think that there's more to go. But we're going to keep growing the earnings of this company as we invest. So it's -- that is the flywheel we talk about. But Randy, Jeremy, anything to add?
Jeremy Smeltser: Yes. I mean I'd say, Bob, over the last couple of years, we've increased that spending, what I kind of generally categorizes brand support investment about $70 million on an annual basis from '19 to '21, give or take. As it relates to our targets, I think it's a little bit different by business, by category and kind of what level of spend is necessary. I think we're still under where we would expect to be two or three years from now, but we're doing it in a measured way as we build the talent and build the muscle around getting the right ROI on that spend.
David Maura: We're going to earn our way into it. But again, what I'm trying to highlight for people is the quality of our earnings stream has really increased, right? I mean if you unburden the $167 million this quarter, could have been $187 million in EBITDA, right? And that would have been impressive for today, but not necessarily good for the business two years from now. So we're doing the right thing.
Operator: Your next question comes from the line of Chris Carey with Wells Fargo.
Christopher Carey: So I was hoping to maybe just to kind of level set how the quarter came in, and this is kind of in the context of sustainability going into next year, right? So I mean, Garden seems to be impacted by weather, but I'm curious your thoughts there in general, just on relative market share. Pet sounds strong underlying and you actually need to be expanding the business. HHI growth is obviously phenomenal. And HPC came in, sounds like more or less, aligned with your expectations. And I guess if I kind of put all that together, it seems like Garden's got a good shot at growing next year.  Pet has a good shot at growing next year on this revised base. Maybe the question is, is that fair? And then -- and again, just maybe high-level concepts of like the sustainability of growth drivers, because I think this is big debate amongst investors.  And maybe just HHI. And again, I appreciate you already have commented on this a little bit. But just HHI is delivering such phenomenal growth. I mean are the things that you're seeing in that business that give you some confidence that, hey, even though the growth has been so strong this year, these are sorts of things that could actually be sustainable over a 4-quarter, 6-quarter, 8-quarter period.  So just any sort of maybe like incremental commentary on how this quarter came in and how that kind of makes you feel about just like the concepts of sustainability to go forward, because I think that's maybe one of two major debates on the stock right now.
David Maura: Look, I'll start it, but then I'm really going to hand it over to the team. I'm coming to work in 2022 to grow. And we expect to grow our business. So Jeremy or Randy?
Randal Lewis: Yes. So Chris, hey, just to the comment on Home & Garden, you asked about weather. That's a business that you just have to be very long-term focused and we believe that the fundamentals in that category continue to look attractive.  So there's a number of macro demographic changes with regards to transition of populations towards the South, transitions and populations from cities to suburbs, working from home, just the shift in how people view their homes over the last 12 to 18 months, all of those things bode very well. And we think the competitive environment is really great for us. We think it's our business that we were probably least invested in several years ago. We think it's our business that probably has the most potential for escalation as a result of the changes in our strategy.  So the one thing I know from being associated with that business for over two decades is that the returns are lumpy quarter-to-quarter, not only because of weather, but also because of retailer purchasing power and patterns and everything else. And you just kept it back up and say, we're a strong player in an attractive category with really great margins and really high barriers to entry and we like that.  I think you answered your own question in Pet, looks to be strong. We expect the macro conditions to continue to be positive. We think it has the stickiest impacts from COVID. And our globalization strategy, our focus on brands and platinum products is really driving share throughout the -- to tie of that.  So Jeremy, I don't know if you want to talk about the other two?
Jeremy Smeltser: Yes, certainly. I mean, I think if you look at HPC, we've been pleased with what we've seen in groom and haircare as the world has kind of reopened, and that's a great thing. I think as the world reopens, for a very short period of time, we saw demand decline in kitchen appliances, which didn't surprise anybody. But frankly, we're pleased with what we've been seeing most recently and overall demand there.  And I think David talked about HHI. I mean 25% of our business is exposed to new home sales, construction here in North America. We like what we're seeing there. We continue to win contracts with new builders, including in multifamily. And then the retail environment for remodel, the velocity of existing home sales continues to be strong, and that is usually a big driver for us. So we like that.  And then back to Home & Garden, I'd just remind folks, I mean we had a blowout year last year, right? High single-digit growth for a business that was kind of a low single-digit growth business for a while. And here we are sitting here 9 months into the year, and we've got probably mid-single-digit organic growth for the year.  So this is kind of a 2-month weather period that we saw in the quarter, but we shouldn't lose sight of how much growth we've experienced in that business over the 2-year period and the momentum that those brands have.
Christopher Carey: I appreciate you entertaining all that. Just one follow-up would be, I know there's a prior conversation around inflation and pricing. Just as far as inflation rolling into the first half of your fiscal '22, I wonder if you could just kind of talk to where -- what are the areas where you're seeing the most impact, say, over the next few quarters, whether that's metals, resins, ocean freight. I know some of -- maybe some contracts that you have locked there or some negotiated terms that you've locked there might be rolling off, domestic transportation and logistics, labor.  Just kind of maybe like a run of the key buckets of inflation that we should be mindful of over the next three to four quarters.
Jeremy Smeltser: Yes, I'll start, and Randy could fill in with some color. I mean great points, and I should remind everybody, we said it earlier, but it was a little bit different being a September year-end compared to a calendar year-end with this situation, given the timing of when all this hyperinflation kind of started.  So our first half will be tough because we've only experienced inflation in the second half of this year. So that's kind of two quarters of lapping that inflation hitting our P&L versus if we were a calendar year-end, you probably only have one quarter. So just keep that in mind.  As it relates to where we're seeing it, given our operating model, 55%, 60% of it is really ocean freight. So that's the biggest single driver impacting the businesses a little bit differently, but certainly, HPC, Global Pet Care and HHI probably experiencing a larger share of ocean freight.  Materials, which would encompass metals, resins, et cetera, probably 1/4 of the overall inflation. HHI on the metal side would certainly be taking a big hit there. And the rest is pretty much labor and North American distribution after things get to our DCs.  Randy, maybe you want to chat a little bit about ocean freight and kind of how we're approaching that spot versus contract, et cetera.
Randal Lewis: Yes. So Chris, one of the things we invested in back as part of our Global Productivity Improvement Program several years ago was a centralized global management of all transportation actually located in Southern China. We've built some tremendous capabilities there with folks that have excellent on-the-ground resources and connections. And while this is a global commodity, we've actually done quite well as we benchmark against competitors and as well as our suppliers on two things.  Number one, being able to be on contract rate versus spot rate. We have a pretty good ratio there. And number two is just access to containers.  So we are -- we believe that we are materially getting capacity from suppliers because we're able to smooth that supply chain out to them, get them the cash and relieve them of that inventory. So it's our biggest headwind currently. It's our biggest headwind into next year. And we feel good that we're managing it very well.
Operator: Next question comes from the line of Ian Zaffino with Oppenheimer.
Ian Zaffino: I had two kind of follow-ups that I'll just ask right now, and so I have another one after that. First one would be on HPC. Just trying to understand a little bit more about the dynamics here. I guess when we saw the reopening, kitchen declined a little bit, but then you saw an uptick.  So curious what drove that uptick? And do you think these two businesses inside HPC could actually, in tandem, both improve? Or are they going to offset when people return back to work? And then the second question would be on the kind of the potential portfolio rejiggering. I mean if that was to happen, there'd be significant proceeds, which kind of begs the question is, how are you thinking about capital allocation now if you were potentially to come into large proceeds? But then maybe also just in general, if you don't come into those proceeds.
David Maura: I'll take it backwards, and I'll let the team talk about the demand side of the kitchen and personal care. Look, we're here to run businesses and to grow businesses, and we think we're making great investments to have sales and earnings growth going forward. Hypothetically, to answer your question, I mean, if we came into a bunch of cash today, if it just fell out of a helicopter, I would buy back a lot of stock. I know everyone knows this, and I know that I still look wrong in the short term, but I think our security -- I think our stock price is materially undervalued.  And I think we are generating a lot of free cash flow. The IPO market, I see things go public at 17x EBITDA, and I scratch my head why we're trading at nine.  But I do know that fundamentals win. And I do know that staying the course pays dividends. And so we're going to continue to be the more efficient, consistent operator that we've built over the last two years. And we're going to take it up a notch in '22. So stay tuned.
Jeremy Smeltser: Yes. And on HPC, I mean we can't give guidance for F '22. We're not there yet, right? But as we said, we like the momentum in both those categories right now. I would venture to guess personally, back to Randy's comments, that our abilities on the supply chain front are probably helping us win share at this point. But while these categories are probably going to, over time, broadly kind of revert back to single-digit growers, there's still growth to be had, I think, in those categories.
Randal Lewis: Yes. And another comment there on the HPC business is that we grew in the U.S. and we grew quite nicely in Latin America. There was a bit of a drag this quarter in Europe, and that's a direct reflection of Europe going back under lockdown on retail in several countries where people used to being back out and purchasing in person, and that kind of shut down. We expect that's going to trend back.  And then relative to the other comments, the lumpiness of the year-on-year comparisons is so extreme. But overall, we still see solid demand for small kitchen appliances even as things open back up, it's just not as excessive as it was last year. We complement that with incredible growth in garment care as well as haircare and other categories, and we feel good about going into next year.
David Maura: Listen, let me congratulate the HPC team because they just won a nice piece of business, and I'd like to give them a shout out on the call just for staying on it and winning nicely chunk of business recently. Next question.
Kevin Kim: Now with that, we have reached the top of the hour, so we'll conclude our conference call today. Thank you to David, Jeremy and Randy. And on behalf of Spectrum Brands, thank you for your participation.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.